Operator: Good evening, and welcome to the SmartRent Inc. Third Quarter 2021 Earnings Call. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to turn the call over to your host, Evelyn Infurna, Senior Vice President of Investor Relations. Thank you, Evelyn, you may begin.
Evelyn Infurna: Thank you, Operator. Good evening, everyone, and welcome to SmartRent's third quarter conference call. Joining me today are Lucas Haldeman, Chairman and CEO; and Jon Wolter, Chief Financial Officer.  After the close, we issued an earnings release and a 10-Q, which are available on our Investor Relations section of our website. Before I turn the call over to Lucas, I'd like to remind everyone that the discussion today may contain statements related to our business that may be considered forward-looking, including statements concerning our plans to execute on our growth strategy, our ability to maintain existing and acquire new customers and other statements regarding our plans and prospects.  Forward-looking statements are often identified with words such as we expect, we anticipate, we believe or similar expressions. These statements reflect our view only as of today, November 10, 2021, and should not be considered our views as of any subsequent date. We do not undertake obligation to update or revise any forward-looking statements. Forward-looking statements are not promises or guarantees of future performance and are subject to a variety of risks and uncertainties that could cause the actual results to differ materially from our expectations.  For a discussion of material risks and other important factors that could affect our actual results, please refer to those contained in our registration statement on Form S-1 filed with the SEC on September 23, 2021, and our quarterly report on Form 10-Q, which are available on the Investor Relations section of our website and on the SEC's website at sec.gov.  Finally, during today's call, we will refer to certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our press release issued after the close today.  And with that, let me turn the call over to Lucas to review our results. Lucas?
Lucas Haldeman: Thank you, Evelyn. Welcome, everyone, and thank you for joining us as we review our third quarter results. SmartRent had a truly outstanding quarter. We delivered an all-time record revenue of $35.1 million, representing a 112% increase over last year. After deploying 56,000 units in the first half of 2021, we deployed a record 59,000 units in the third quarter alone, 111% more than in the same period last year. Our total aggregate units deployed and committed were just under 1 million as of the end of the third quarter. These achievements are indicative of the passion and commitment of our team, the growing demand for our enterprise IoT smart home solutions and the benefit of having approximately $445 million of capital to deploy to support our growth as a result of our successful public debut completed in late August.  Since our debut, we've used a portion of this capital to invest in the expansion of our sales force, our field installation services team and our research and development teams. We've continued to attract seasoned high-quality talent from leading technology and real estate service companies in keeping with our founding DNA of real estate and technology.  The increase in the number of employees, which is currently pressuring our margins, is necessary so that we can deliver on our booked and committed unit pipeline and pursue additions to our product road map, especially as we look to capitalize on our first mover advantage in the smart building industry. We anticipate that the expansion of our workforce, especially in our professional services revenue stream will continue to help us effectively convert our committed unit backlog to deployed units.  We believe our consultative sales process, on-site installation oversight by our field team and our customer training and support are all key factors contributing to our success. Our extensive flexibility in integrating with a myriad of hardware devices, 8 property management platforms, numerous CRMs and maintenance software systems, unlocks enormous value for real estate operators and owners.  Our open architecture philosophy allows us to provide individualized solutions for property owners and managers who embrace the opportunity to enhance revenue, reduce expenses, mitigate risk and reduce energy consumption. Our approach to the smart home or connected community business is clearly resonating with the market as evidenced by our growth in committed units and new customers. The financial benefit and improved efficiencies from utilizing our predictive maintenance tools, auto-generated work orders, self-guided tours and overall reduction in workflow friction are compelling. A number of our customers have stated that they are experiencing ROIs in excess of 50%.  In the third quarter, we added 17 new customers, growing our base to 199 loan portfolios with both existing and new construction in the multifamily, single-family rentals, homebuilders and iBuyer markets. Collectively, our customers control approximately 4.1 million units, the vast majority being existing units that our teams will retrofit, one of our key differentiators. These units represent a significant annual recurring revenue opportunity for SmartRent. A majority of the units in our pipeline are owned by the largest institutional multi- and single-family rental landlords. We are also making excellent inroads into what we call the long tail with thousands of property owners and managers of smaller institutional portfolios.  On the product innovation front, we introduced several platform enhancements this year including Alloy Parking, video intercom and Alloy Access, our community access product. We are experiencing more and more of our bookings include one or more of these new products, along with self-guided tours and our original smart home offering.  During the quarter, we launched a white-label resident app that owners can brand for a specific property or company, which personalizes the resident experience while consolidating the control and functionality of all of the SmartRent devices being utilized in the community. It also allows for other online services or marketplace operators affiliated with that community. This app is an additional offering to our legacy resident app that engages with approximately 570,000 resident users and our property staff app, where we have approximately 17,000 users.  We remain focused on advancing additional product enhancements related to the energy management and efficiency, given the growing importance of reducing energy consumption for our customers, their residents and the global community. Our go-to-market smart home offering that includes a smart thermostat and leak detector, along with our data collection and reporting capabilities from these devices was SmartRent's initial step to help owners better understand and manage water and energy consumption.  Over the last several months, we have evolved our energy management offering by integrating with an energy management software platform that collects and manages data from over 300 utility companies to facilitate ESG reporting and demand response rebates. The platform also provides rebates on smart thermostats and revenue sharing related to demand response program participation. Residents also benefit from our energy management products by reducing their utility builds and other financial incentives.  Another important initiative is making managed WiFi deployment a priority. We believe there is a compelling need for a robust WiFi offering, which is largely absent or of inferior quality in most rental communities today. With the continued importance of workplace flexibility and the growing demand for streaming services, property managers can no longer ignore strong, reliable WiFi as a curated amenity. We believe that property owners and managers will welcome an upgraded WiFi solution where they can participate in a thoughtful revenue-sharing program while enhancing their resident's experience. This offering is particularly timely as long-term legacy telco and cable contracts are entering an expiration cycle.  Residents should also benefit as we believe that our managed WiFi product will provide superior service to in-place or legacy solutions at a lower cost and with less friction. There's no cable company to wait for, and the service can be turned on with just a tap in our resident app.  Managed WiFi should have a dual benefit for SmartRent, both as a contributor to our revenue stream and as an opportunity to reduce expenses, eliminating the need for our hubs to be connected to a cellular network. The opportunity to convert these hubs to WiFi represents the potential for significant savings to the company.  In recent calls with the analyst and investor community, we have been asked several questions about churn, including potential churn on our customers' property sales. In our experience, SmartRent communities sold by our customers have become stealth SmartRent product pilots in the buyer's portfolio, allowing the buyer of the community the opportunity to learn about SmartRent's value-enhancing platform firsthand. Instead of the loss of a community on our platform, we are gaining a new customer who in turn has multiple properties or a portfolio that we can now sell into with a relatively low CAC, a higher ARPU and a newly cast 5- to 7-year hosted services contract.  Interestingly, some of our product offerings such as Alloy Parking have become opportunities for us to penetrate nonresidential real estate verticals. A number of our current customers who own multiple real estate property types are using Alloy Parking not only in their multifamily communities, but also at their office properties.  Our recent expansion into student housing, while still in early days, is progressing well with several student housing customers participating in pilots. We continue to recruit student housing industry experts as we build our team to further penetrate this promising real estate vertical.  While our organic growth opportunity is large, we are excited by the flexibility of our platform to expand into other verticals or acquire complementary software platforms. Our business development team has been working diligently to identify and vet opportunities that will strengthen our market-leading position. As part of our long-term strategy, a successful acquisition for SmartRent must include at least one of the following criteria: advancement of our product road map or diversification of our product offerings; entering into another real estate vertical; diversification of customer base or the expansion of our presence in geographic markets or market segments where we are underrepresented, such as the long tail that we addressed earlier; and lastly, given our size, any acquisition or partnership that we pursue needs to be a solid cultural fit.  Our current focus is on domestic opportunities, but we are also evaluating international expansion where we believe we can ramp following our proven land and expand model. With that said, we have made inroads into Canada and the U.K. During the quarter, we welcomed a Canadian customer that has recently converted from pilot to portfolio rollout, an achievement we are extremely proud of. We would also like to acknowledge the hard work of our U.K. team, they are setting the groundwork for SmartRent expansion in that market.  Overall, we believe that we are well positioned to execute our growth plan, and we have the financial and human capital necessary to continue on our trajectory. We are encouraged by our accomplishments in the third quarter and believe that our achievements are just a preview of what SmartRent is capable of. Near-term headwinds related to the global supply chain notwithstanding, we are confident that Smarter will continue to grow its customer base and revenue stream at a brisk pace. Our team is singularly focused on delivering value to our customers, growing our market share and generating long-term shareholder value.  Now I'll turn the discussion over to Jon to review the financial results. Jon?
Jonathan Wolter: Thanks, Lucas. It's a pleasure to share SmartRent's financial results with you this evening. The primary driver of our growth to date in 2021 is the number of new units deployed. I'm pleased to share that new units deployed reached a company record with 59,347 units in the quarter as compared to 28,190 new units deployed last year. With the addition of new units deployed in the quarter, we have grown our total units deployed base to 270,772, an increase of 117% from a year ago.  Units booked, which represents the aggregate number of smart hubs associated with binding orders in the period increased 134% to 49,706 from 21,272 last year. Year-to-date, units booked rose 151% to 134,054 as compared to 53,488 on a year-to-date basis for the third quarter of 2020. As a reminder, units booked are typically converted into units deployed in the subsequent quarter from the time they are booked. We use units booked to help us assess near-term resource demand and as an indicator of post-deployment revenue that we will earn and record.  Committed units increased to 704,242, up 16% on a sequential quarter basis. Again, as a reminder, committed units is the aggregate number of smart hubs that are subject to binding orders together with units under master services agreements for which we have been informed that will be deployed within 2 quarters of that notice. Growth in new units deployed were the primary reason for SmartRent's achievement of record quarterly revenues of $35.1 million, up 112% from $16.6 million in the third quarter of 2020.  Total deferred revenue, which provides us with near and medium-term revenue visibility was approximately $84.7 million at the end of the third quarter, growing 14% from $74.5 million sequentially and by 100% from $42.4 million for the same period a year ago. We expect to recognize 45% of our total deferred revenue within the next 12 months. 31% of our total deferred revenue between 13 and 36 months with the balance being earned between 37 and 60 months from the end of the third quarter.  Annual recurring revenue, or ARR, which we define as the annualized value of our recurring SaaS revenue earned in the current quarter, was $8.7 million, up more than 24% sequentially from the second quarter and up 158% as compared to the third quarter of last year. As a reminder, our ARR does not include annual recurring revenue that could be attributed to committed units, representing significant additional upside.  Hosted services ARPU in the quarter increased to $6.81 per unit per month as compared to $6.29 per unit per month in the third quarter of 2020. The year-over-year improvement in ARPU is driven by the introduction of new products and expanded customer base that is opting for more of our products, the upselling of legacy customers and signing new customers at a higher subscription rate than early adopters. We anticipate continued incremental improvement in hosted services ARPU as we add new customers, expand service offerings for existing contracts and launch and cross-sell new products.  Our hardware gross profit was reduced by $5.7 million of warranty provision related to deficient batteries in some of our smart hub units. Additionally, we want to share that we have pivoted to another battery supplier in order to avoid future warranty allowances related to this issue. It is important to note that excluding the $5.7 million warranty charge, our hardware gross margin improved to 14% from 11% sequentially and from a negative margin in the third quarter of 2020.  Operating expenses in the quarter increased by 145% to $19.7 million from $8.1 million last year, reflecting several factors, including an increase of $3.4 million in personnel expense as a result of our increased headcount as we ramp our workforce to meet our growing demand. Other drivers of expense in the quarter included public company-related expenses, such as insurance, professional fees and noncash stock-based compensation of approximately $4.3 million.  Adjusted EBITDA for the quarter was a negative $16.1 million compared to a negative $6.8 million in the third quarter of 2020. And net loss in the third quarter was $26.7 million compared to $8.7 million a year ago, reflecting primarily the gross profit decline and increased operating expenses. At quarter end, total shares outstanding were approximately 194 million and diluted shares outstanding were approximately 220 million. For the third quarter, there were approximately 86 million weighted average shares outstanding.  As of September 30, 2021, we had a cash balance of $472.5 million and $3.6 million of outstanding term debt. We received $445 million in net cash proceeds related to our business combination with Fifth Wall Acquisition Corp. As a reminder, proceeds from the business combination are being used for the continued expansion of our workforce, the development of products on our road map and selected external growth opportunities.  With respect to our outlook, we remain on track to deliver approximately 161,000 deployed units in 2021 and are refining our revenue projections to a range of $100 million to $105 million from $119 million. We anticipate that hardware revenue will be the primary revenue driver in 2021, reflecting the thousands of units that we are currently deploying. Our revision to 2021 revenue reflects supply chain constraints, which have created a backlog in the deployment of the Fusion Hub and our Alloy Access product.  With respect to our 2022 expectations given the uncertain nature of the global supply chain and logistics, we will provide updated guidance on adjusted EBITDA, units deployed and revenue for 2022 when we report our year-end 2021 results. That concludes our prepared remarks.  Operator, please open the line for questions.
Operator: [Operator Instructions]. Our first question comes from Rod Hall of Goldman Sachs.
Roderick Hall: So I wanted to ask about the deployed unit guide for fiscal year '21 that was reiterated unchanged. But then your revenue guidance is a little bit lower and ARPU is a little bit below what we anticipated. So I wonder, is that related to Fusion Hub delays? Or can you kind of dig into what's happening with ARPU right here a little bit? And then I have a follow-up.
Lucas Haldeman: Rod, it's Lucas. Yes, you're on to it. It's really to the delay of the Fusion Hub. We've continued to have supply chain issues with that particular device. And so you're seeing that has a higher ARPU, higher contribution margin. And so that's why you're seeing that.  The other area that we're seeing delays with are Alloy Access product, which is not an in-unit product that goes on common area doors like the front door and the gym and amenity areas. And so that's why we're confident in reaffirming our unit count and hitting our units. But that -- the revenue is coming in a little lower, it's going to be pushed -- that will be pushed into '22.
Roderick Hall: And you think, Lucas, that, that ARPU kind of hangs a little bit lower because of those factors into early '22? And then as these supply chain issues loosen, we start to see ARPU trajectory moving up the way we kind of thought it would originally or...
Lucas Haldeman: Yes, that's how we're feeling. I think we're going to make sure we give you much better guidance when we do our Q4 call in Q1, but that's the way we're seeing it right now, Rob.
Roderick Hall: Okay. And then my follow-up, I just wanted to ask you guys about competition. There's a lot of -- just keeps being a lot of noise in this market. And curious what you're actually seeing on the ground in terms of competitors. Are you even finding yourselves engaged in competitive goods? Is it mostly just you're the only game in town? And it's a question of whether somebody is going to install smart technology or not. Or just curious what you see on the ground in terms of the competitive environment.
Lucas Haldeman: Yes. I mean, it is. You're right, there's a lot of competitors in the space. There always have been, even when we first started this -- we were the first to start this business. And I think we've been confident and continue to be confident in our ability to win RFPs. I think what you're seeing is we are definitely putting the IPO proceeds to work to enhance our sales and marketing teams and have more selling heads out there. We still feel like if we get invited to the RFP, we stand a very good chance of winning that, but we need to make sure we're invited to the RFP. And I think mostly what we're still seeing is noise in the space and that we still feel like we're truly a differentiated platform.
Roderick Hall: But if you guys get invited to the RFP, is there any other typical bidders? Or can you kind of say who you see the most competitively?
Lucas Haldeman: Yes, it kind of depends on the owner, and there's some regional differences as well. I mean it's all the names that we talk about and that we see. There's no name that would surprise you.  It's actually been surprising what we've seen really over the past now 2 years is more people leaving this business and going back to their -- if they were traditionally a consumer-based business, they've gone back to being a consumer-based business and aren't selling into multifamily. So I think we're seeing some good consolidation there. I think you'll continue to see consolidation in this space. There's an announcement today of sort of consolidating. So I think we're seeing fewer stronger players emerge.
Operator: Our next question comes from Ben Sherlund of Cantor Fitzgerald.
Benjamin Sherlund: I'm just wondering how the conversations are going that were with some of your customers around -- specifically around kind of construction time lines and how they're thinking for both retrofit and new builds. Any update there? Any color would be great.
Lucas Haldeman: Yes. I think really, I like -- Ben, thanks for the question, first of all. I really like our business model where we have the ability to do the bulk of our work in retrofits. We're not waiting for units to come out of the ground, they're there, they're existing, they're ready for us to go.  And to the extent that we weren't having hardware delivery issues, which we've largely been able to avoid outside of Q2 this year, that gives us the ability to keep going. Those projects that we're seeing, new developments that are coming out of the ground, they are seeing some delays. Most of our owners, though, have pivoted and said instead of doing 3,000 new build units next year, we'll just do 3,000 existing. And so I like the flexibility we have to go back and forth between -- and focus on those retrofits.
Benjamin Sherlund: Okay, great. And then maybe a follow-up, if I could. From your perspective, you guys just got a pretty big influx of capital. How have the labor shortage has been impacting kind of your time lines for your deployment of capital building out additional professional services headcount or sales teams? Is there any delays to your kind of time line there?
Lucas Haldeman: No. Actually, we're seeing -- we're hiring ahead of plan. We're able to attract incredible talent. And we've actually -- we thought it was going to be tougher, and we've been pleasantly surprised we're able to attract and retain incredible talent. Our unfavorable turnover remains incredibly low based on industry standards and we're able to attract really high-caliber net new talent. So for us, we're not currently seeing an issue with the labor market.
Operator: Our next question comes from Sidney Ho of Deutsche Bank.
Sidney Ho: Congrats on the solid progress. My first question is a follow-up to an earlier question on your full year target. I know you reiterated the full year unit deployed guidance. Have supply constraint been a factor impacting that unit deployed, meaning that you would have gone -- you would have to have a higher number of deployment?  And then kind of related to this is being low revenue in same unit deployed, does that mean your customers are deploying units with less of a mix? And how would you think about your ability to recapture some of the revenue mix in future quarters?
Lucas Haldeman: Yes, Sidney, thanks for the question. So yes, we absolutely anticipate recapturing that revenue in the future quarters. And really, I want to kind of double click on 2 points. One is the Fusion Hub, which is our touchscreen hub and has a higher ARPU that's been delayed, that has not been us delaying putting in -- bringing units online. And when that Fusion Hub is done, that hub will be added to that unit that already has a smart lock, a smart thermostat, leak sensors, et cetera. And so it's an add-on product to the smart home. So that's part of how we hit our unit that are guiding you down on the revenue side.  And then the other side of it is the Alloy Access product. So we can go do -- if it's a 250-unit community, we can go do 250 units. And then we're delayed doing the front door and the elevator and the parking garage. We'll come back and do those when we have the hardware. And so that's where we're able to hit the unit number, but we're guiding you down a little bit on the revenue side.
Sidney Ho: Yes, that makes a lot of sense. Maybe a follow-up question is, my understanding is that the occupancy rate across the country has been pretty high. How does that impact the negotiation with your customers? Are they more willing to spend on capital investment projects like all the smart home, smart building thing because they can easily pass that along to the residents? Or do they tend to take more time to make their decisions because they don't feel a rush to upgrade?
Lucas Haldeman: Yes. On that point, I think that's where it's really important that we sell the benefits of the overall platform, which is both an expense reduction, headache reduction and makes it easier to run your property. There's ROI on utility savings, there's ROI on protecting your assets better. And so that's where it's not always about occupancy and residents. We're not reliant on this being passed through to the residents to get the owner to buy in. That's great ROI, and it's there and owners take advantage of that. but that's not sort of the lead to our pitch. And to answer the macro question, I think, for us, we're not really tied to the occupancy rate and that the owners that we target tend to be large institutional owners and they have budgeted to capital improvements throughout any cycle. And so part of why we love this business is it's sort of cycle proof. And owners in a down cycle, they need to spend less and cut the expense side. In an up cycle, they're able to charge more in rent.
Operator: [Operator Instructions]. Our next question comes from Tom White of D.A. Davidson.
Tevis Robinson: Great. This is Tevis on for Tom. Just one question from us. I was hoping if you could provide a bit more color on the overall demand trends in the industry. On the one hand, like the pandemic has accelerated digital disruption and consumer tastes have shifted, but also we've seen the construction industry challenges. So maybe share a bit of your thoughts there and if there's any difference between new sought -- new construction and the retrofit part of the market.
Lucas Haldeman: Yes. Thanks for the question, Tevis. Yes, I think, again, this is where I love the fact that our business is primarily focused on retrofit. We're not really subject to those macro trends that are affecting the construction -- and they are affecting the construction trades for sure. I think one thing I kind of guide you to is our committed unit number, where we've taken that up to 704,000. If you think about that, and we were at 606,000 in the last quarter, but it's actually different than that 606,000 minus the 59,000 we deployed. And so actually, it's a net new 157,000 committed units in the quarter.  So we think demand is strong, continues to remain strong. And we feel like there are sort of secular tailwinds pushing the real estate industry in general to adopt more and better technology. So we continue to be thrilled with the demand and we're really trying to keep up with the demand. It's a great quadrant to sit in.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to the presenters for any closing remarks.
Lucas Haldeman: Thank you all for joining us on the call. We had a tremendous quarter. We're excited by the future and appreciate the questions and we look forward to seeing you in person at some of these conferences and talking again next quarter. Thanks a lot.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a wonderful day.